Operator: Greetings. And welcome to the SiteOne Landscape Supply Fourth Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, John Guthrie, Executive Vice President, and Chief Financial Officer. Thank you sir. You may begin.
John Guthrie: Thank you, and good morning, everyone. We issued our fourth quarter and full year 2023 earnings press release this morning, and posted a slide presentation to the Investor Relations portion of our website at investors.siteone.com. I'm joined today by Doug Black, our Chairman and Chief Executive Officer, and Scott Salmon, Executive Vice President, Strategy and Development. Before we begin, I would like to remind everyone that today's press release, slide presentation, and the statements made during this call, include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. Such risks and uncertainties include the factors set forth in the earnings release and in our filings with the Securities and Exchange Commission. Additionally, during today's call, we will discuss non-GAAP measures which we believe can be useful in evaluating our performance. A reconciliation of these measures can be found in our earnings release and in the slide presentation. I would now like to turn the call over to Doug Black.
Doug Black: Thanks, John. Good morning, and thank you for joining us today. We finished 2023 with a strong fourth quarter as our teams achieved good sales volume growth, which mostly mitigated commodity product price declines. We achieved a modest increase in adjusted EBITDA with 8% growth in net sales, recovering gross margin, and good SG&A management balanced with the seasonal dilution of recent acquisitions. Overall, 2023 was a tough year where we faced many challenges, including softer markets, operating cost inflation, gross margin normalization, and commodity price deflation. Against these headwinds, we continued to execute our initiatives and work through the challenges to achieve 7% net sales growth, adjusted EBITDA, which was just above our guidance range, and record operating cash flow for 2023. We were also pleased to add 11 new excellent companies to SiteOne during the year, with a record $320 million in trailing 12-month revenue. All these companies have talented teams and strong customer relationships, and they expand our product lines and market presence in their respective markets. Through the execution of our commercial and operational initiatives and our acquisition strategy, we continue to build SiteOne as a world-class market leader for the long-term, while delivering consistent performance and growth in the near term. As we move into 2024, we are optimistic about our end markets and excited about our stronger teams and improved commercial and operational capabilities. When coupled with our well-balanced business, strong balance sheet, and robust acquisition pipeline, we expect to resume adjusted EBITDA growth in 2024 and make good progress toward our longer-term performance and growth objectives. I will start today's call with a brief overview of our unique market position and our strategy, followed by some highlights from 2023. John Guthrie will then walk you through our fourth quarter and full year financial results in more detail and provide an update on our balance sheet and liquidity position. Scott Salmon will discuss our acquisition strategy, and then I will come back to address our outlook and guidance for 2024 before taking your questions. As shown on slide four of the earnings presentation, we have grown our footprint to more than 690 branches and four distribution centers across 45 U.S. states and six Canadian provinces. We are the clear industry leader, over three times the size of our nearest competitor, yet we estimate that we only have about a 17% share of the very fragmented $25 billion wholesale landscape products distribution market. Accordingly, our long-term growth opportunity remains significant. We have a balanced mix of business with 65% focused on maintenance, repair, and upgrade, 21% focused on new residential construction, and 14% on new commercial and recreational construction. As the only national full product line wholesale distributor in the market, we also have an excellent balance across our product lines as well as geographically. Our strategy to fill in our product lines across the U.S. and Canada, both organically and through acquisition, further strengthens this balance over time. Overall, our end market mix, broad product portfolio, and good geographic coverage offer us multiple avenues to grow and create value for our customers and suppliers, while providing important resiliency in softer markets. Turning to slide five, our strategy is to leverage the scale, resources, functional talent, and capabilities that we have as the largest company in our industry, all in support of our talented, experienced, and entrepreneurial local teams to consistently deliver superior value to our customers and suppliers. We have come a long way in building SiteOne and executing our strategy, but have more work to do as we develop into a true world-class company. Accordingly, we remain highly focused on our commercial and operational initiatives to further build our capability to create value for all our stakeholders. These initiatives are complemented by our acquisition strategy, which fills in our product portfolio, moves us into new geographic markets, and adds terrific new talent to SiteOne. Taken all together, our strategy creates superior value for our shareholders through organic growth acquisition growth, and EBITDA margin expansion. If you turn to slide six, you will see our strong track record of performance and growth over the last seven years with consistent organic and acquisition growth and EBITDA margin expansion. We have done this while investing heavily in our teams and in new systems and technologies to build the foundation for SiteOne and to create superior capabilities for our customers and suppliers. 2023 was a reset year for gross margin and adjusted EBITDA margin as we did not repeat the extraordinary price benefits that we received in 2021 and 2022. We are now experiencing commodity price deflation, which causes a temporary negative impact on organic daily sales growth, gross margin, and adjusted EBITDA margin. We expect this negative impact to subside in the second half of 2024, and we continue to have significant opportunities to increase our gross margin and improve our operating leverage through our commercial and operating initiatives. Accordingly, we remain confident in our strategy to drive revenue growth, both organically and through acquisition, while expanding our adjusted EBITDA margin toward our longer-term objective of 13% to 15%. We now have completed 91 acquisitions across all product lines since the start of 2014. We expanded our development team in 2021, leveraged them to increase acquisition activity in 2022, and completed 11 acquisitions for a record $320 million, trailing 12 months acquired sales in 2023. Our pipeline of potential deals remains robust, and we expect to continue adding and integrating more new companies to support our growth. These companies strengthen SiteOne with excellent talent and new ideas for performance and growth. Given the fragmented nature of the industry and our modest market share, we have a significant opportunity to continue growing through acquisition for many years to come. Slide seven shows the long runway that we have ahead in filling in our product portfolio, which we aim to do primarily through acquisition, especially in the nursery, hardscape, and landscape supplies categories. We are well-networked with the best companies in our industry and expect to continue filling in these markets systematically over the next decade. I will now discuss some of our 2023 performance highlights as shown on slide eight. We achieved 7% net sales growth in 2023 with flat organic daily sales and 7% net sales growth added through acquisition. Organic sales volume was flat as our teams continued to gain market share to offset softer markets. Additionally, commodity products like fertilizers, seed, and PVC pipe experienced significant deflation during 2023, which balanced with normal cost increases in our other product lines to yield overall flat pricing for the year. Gross profit increased 5% driven by our acquisitions, and our gross margin decreased 70 basis points to 34.7%. This result was in line with our expectations as we did not repeat the significant price realization benefits achieved in 2021 and 2022. In fact, the rapid price deflation that we experienced during the third quarter of 2023 created an additional near-term headwind to gross margin. Acquisitions benefited gross margin in 2023 as our mix of acquired companies operate with a higher gross margin and higher SG&A. Our SG&A as a percentage of net sales increased 190 basis points to 29.2%. This increase was driven by our acquisitions and by the combination of flat organic sales, operating cost inflation, and continued investment in our initiatives in digital and operational excellence. The timing of our largest acquisition, Pioneer Landscaping Centers, during the second half of the year also contributed to the increase in SG&A as a percent of net sales. Going forward, we expect to gain significant SG&A leverage as we continue to grow. Flat organic growth and a reset in gross margin led to a 12% decline in our adjusted EBITDA for the full year. Adjusted EBITDA margin declined 210 basis points to 9.5%. We are encouraged to have this reset year behind us and look forward to driving continued improvement in adjusted EBITDA margin in 2024 and making steady progress toward our long-term goal of 13% to 15%. In terms of initiatives, we continue to grow our small customers faster than our average, while also driving growth in our private label brands and improving our inbound freight costs through our transportation management system. These initiatives helped to mitigate the gross margin decline in 2023 and will contribute to expanding gross margin in the future. During the year, we enhanced our partners program and were able to increase our membership by almost 50% to approximately 37,000 customers. Most of the new members are small to mid-sized customers. Partner’s program customers grow faster than nonmembers as they benefit from the full SiteOne value proposition. We increased our percentage of bilingual branches from 56% to 58% in 2023 and are continuing to focus on Hispanic marketing to create awareness among this important customer segment. We're making great progress in our Salesforce productivity as we leverage our CRM and establish more disciplined revenue-generating habits among our over 600 outside sales associates. The continued rollout of MobilePro and DispatchTrack allows us to offer better customer service while also increasing the productivity of our branch staff and delivery fleet. Both capabilities are now deployed company-wide and we continue to see usage and benefit increase across the company. For example, DispatchTrack is now used for over 93% of all customer deliveries across SiteOne. We made good progress in growing our digital sales and cultivating regular users of siteone.com in 2023, which helps us increase market share while allowing our associates to focus more on creating value for our customers and less on transactional activity. And finally, we achieve meaningful benefits from our operational excellence teams who are helping to systematically spread best practices in each product line of business across SiteOne to drive value for our customers, suppliers, and company. For example, we significantly improved the procurement and inventory management of our nursery line of business in 2023, leading to low double-digit sales growth and higher inventory turns. We believe that there are significant opportunities to improve our hardscapes and landscape supplies in lines of business in a similar fashion. Taken all together, we are continuing to improve our capability to drive organic growth, increase gross margin, and achieve operating leverage through our initiatives. On the acquisition front, as I mentioned, we added 11 excellent companies to our family in 2023 with over 320 million in thrilling 12-month sales added to SiteOne. With an experienced team, broad and deep relationships with the best companies, a strong balance sheet and an exceptional reputation, we remain well positioned to grow consistently through acquisition for many years. In summary, our teams did a good job of managing through the many challenges in 2023, adjusting to a lower growth environment, yet continuing to gain momentum on many of our key initiatives to drive long-term growth and profitability. We are excited to move into 2024 with increased capabilities to add more value to our customers' end suppliers, to grow faster than the market, and to drive attractive performance and growth. Now, John will walk you through the quarter in more detail. John?
John Guthrie: Thanks, Doug. I'll begin on slides nine and 10 with some highlights from our fourth quarter and full year results. We reported a net sales increase of 8% to $965 million for the quarter. There were 61 selling days in the fourth quarter, compared to 60 selling days in the prior year period. For the full year, net sales increased 7% to $4.3 billion. We had 252 selling days in fiscal year 2023, which is the same as fiscal year 2022. In fiscal year 2024, we will again have 252 selling days, with the selling days the same each quarter as fiscal year 2023. Organic daily sales decreased 1% in the fourth quarter, compared to the prior year period, its price deflation of 5% was partially offset by volume growth of 4%. For the full year, organic daily sales were flat due to moderating economic conditions and no benefit from price increases. Similar to the third quarter, price deflation in the fourth quarter was driven by our commodity products like PVC pipe, which was down almost 25%, and fertilizer and grass seed, which were both down 17%. For the full year, the price impact on sales was roughly flat as we started the year with a positive benefit before the onset of deflation in the second half of the year. In 2024, we expect price deflation to be a headwind in the beginning of the year, but moderate as we work through 2024 and fully lap the price decreases of 2023. For the full year, fiscal 2024, we expect price deflation to be between 1% and 2%. Organic daily sales for landscaping products, which includes irrigation, nursery, hardscapes, outdoor lighting, and landscape accessories grew 1% for the fourth quarter due to increased volume reflecting solid and market demand and good weather in November and early December, partially offset by lower prices for products like PVC pipe. For the full year, organic daily sales for landscaping products also grew 1%, primarily reflecting slightly higher prices in the first half of the year. Organic daily sales for agronomic products, which includes fertilizer, control products, ice melt, and equipment decreased 8% for the fourth quarter due to lower prices for fertilizer and grass seed, partially offset by volume growth resulting from lower prices and solid demand. As we have previously discussed, we believe high prices for agronomics products negatively impacted sales volumes for those products. For the full year, organic daily sales for agronomic products decreased 4% as price deflation of 7% was partially offset by 3% volume growth. Geographically, four of our nine regions achieved positive organic daily sales growth in the fourth quarter, with the greatest growth in the southern markets, which have benefited from strong construction end markets. We are off to a slow start in 2024 due to rainy weather in many regions with organic daily sales down mid-single digits. However, January is only about 6% of our annual sales, and we expect demand in these markets will continue to be strong for the full year. Acquisition sales, which reflect sales attributable to acquisitions completed in both 2022 and 2023, contributed approximately $71 million, or 8%, to net sales growth. For fiscal year 2023, acquisition sales contributed approximately $279 million, or 7%, to net sales growth. Scott will provide more details regarding our acquisition strategy later in the call. Gross profit for the fourth quarter was $327 million, which was an increase of 8% compared to the prior year period. Gross margin decreased 20 basis points to 33.8%, primarily due to lower prices and less vendor support than the prior year period, partially offset by the positive impact from acquisitions. While year-over-year gross margin performance improved during the quarter, we are still experiencing a negative headwind from deflation. Just as we benefited from the rapid rise in market prices relative to our lower inventory costs on the way up, the drop in market prices relative to our higher inventory costs creates a temporary headwind on the way down. We are managing through this headwind and expect gross margin to be lower in the first quarter of 2024, but improved for the full year of 2024. For fiscal 2023, gross profit increased 5% and gross margin decreased 70 basis points to 34.7%. The decrease in gross margin for the full year reflects the absence of the price realization benefit recognized in the 2022 fiscal year, partially offset by a positive impact from acquisitions and lower freight costs. Selling general and administrative expenses, or SG&A, increased 9% to $333 million for the fourth quarter. SG&A as a percentage of net sales increased 30 basis points in the quarter to 34.5%. The increase in both SG&A and SG&A as a percentage of net sales is primarily due to the impact of acquisitions. Excluding acquisitions, SG&A for a base business decreased 2% during the quarter as we have taken steps to better align SG&A spending with our lower sales. For the full year, SG&A increased 15% to approximately $1.3 billion and SG&A's percentage of net sales increased to 190 basis points to 29.2%. The higher SG&A reflects the impact of acquisitions and operating cost inflation, particularly wage inflation. For the fourth quarter, we recorded an income tax benefit of approximately $5 million, which was similar to the prior year period. For the full year, income tax expense was $49.8 million compared to $67.7 million in the prior year. Our effective tax rate was 22.3% for the 2023 fiscal year compared to 21.6% for the 2022 fiscal year. The increase in the effective tax rate was due primarily to a decrease in the amount of excess tax benefits from stock based compensation. Excess tax benefits of $5.9 million were recognized for the 2023 fiscal year as compared to $10.4 million for the 2022 fiscal year. We expect the 2024 fiscal year effective tax rate will be between 25% and 26%, excluding discrete items such as excess tax benefits. We recorded a net loss of $3.4 million for the fourth quarter of 2023 compared to a net loss of $0.9 million for the prior year period. The net loss was attributable to our higher SG&A and reduced gross margin, partially offset by our increase in net sales. Net income for fiscal year 2023 decreased to $173.4 million from $245.4 million in fiscal year 2022, as our sales growth was offset by higher operating costs and lower gross margin. Our weighted average diluted share account was $45.7 million for the 2023 fiscal year, which is slightly less than the prior year share account. Adjusted EBITDA increased by 3% to $39.9 million for the fourth quarter compared to $38.9 million for the same period in the prior year. Adjusted EBITDA margin decreased 30 basis points to 4.1%. For the full year, adjusted EBITDA decreased 12% to $410.7 million compared to $464.3 million for the 2022 fiscal year. Adjusted EBITDA margin decreased 210 basis points to 9.5% for the 2023 fiscal year. Now I would like to provide a brief update on our balance sheet and cash flow statement as shown on slide 11. Working capital at the end of the 2023 fiscal year was $827 million compared to approximately $760 million at the end of the prior year period. The increase in networking capital is primarily attributable to the increase in cash on hand and higher receivables, resulting from our sales growth, including acquisitions. Inventory turns improved as we continue to make progress on our supply chain initiatives. Cash flow from operations increased to approximately $108 million in the fourth quarter compared to approximately $105 million in the prior year period. Cash flow from operations increased to approximately $298 million for the full year compared to approximately $217 million in the prior year. The record operating cash flow primarily reflects our improved inventory management. We made cash investments of $17 million in the fourth quarter compared to $73 million in the same quarter of 2022 and $226 million in fiscal year 2023 compared to $284 million in fiscal year 2022. The decrease in cash investments reflects less acquisition spend in fiscal year 2023 compared to fiscal year 2022. Capital expenditures were $8 million for the fourth quarter compared to $7 million for the same quarter in 2022 and $32 million for fiscal year 2023 compared to $27 million for fiscal year 2022. The increase in capital expenditures reflects our continued investment in our branch locations, including relocations. Net debt at the end of 2023 fiscal year was approximately $382 million compared to $380 million at the end of the prior year. Leverage increase to 0.9 times our trailing 12 months adjusted EBITDA compared to 0.8 times at the end of the 2022 fiscal year, but remains below our target net debt to adjusted EBITDA leverage range of 1 to 2 times. At the end of the year, the available liquidity of approximately $661 million which consisted of approximately $83 million cash on hand in approximately $578 million in available capacity under our ABL facility. On slide 12, we highlight our balanced approach to capital allocation. Our primary goal regarding capital allocation is to invest in our business, including the execution of our acquisition strategy. We're also committed to maintaining a conservative balance sheet as demonstrated by our target leverage ratio. To the extent we have excess capital after achieving these objectives, the share repurchase authorization provides us with a mechanism to return capital to shareholders. In the fourth quarter of 2023, we've completed share repurchases of approximately $11 million. Our priority from a balance sheet and capital allocation perspective is to maintain our financial strength and flexibility without sacrificing long-term growth or market opportunity. I'll now turn the call over to Scott for an update on our acquisition strategy.
Scott Salmon: Thanks, John. As shown on slide 13, we acquired one company in the fourth quarter, bringing our total to 11 for 2023 with a record combined trailing 12-month net sales of approximately $320 million. Since the start of 2014, we have acquired 91 companies with approximately $1.8 billion in trailing 12-month net sales added to SiteOne. Turning to slide 14, you will find information on our most recent acquisition, Newsom Seed. On December 1st, we acquired Newsom Seed, a wholesale distributor of agronomic products with two locations serving the Baltimore and Washington, D.C. markets. The acquisition of Newsom Seed expands our strong agronomics position in these populous markets and extends the range of landscape products and services we provide to our customers. Summarizing on slide 15, our acquisition strategy continues to create significant value for SiteOne. We have a strong balance sheet and a robust pipeline across all lines of business and geographies, and we are confident that we will be able to add more outstanding companies to SiteOne in 2024 and over the coming years. Our acquisitions continue to add excellent talent to SiteOne and move us forward toward our goal of providing a full line of landscape products and services to our customers in all major U.S. and Canadian markets. We are honored and excited that so many owners continue to choose SiteOne as a great home for their family businesses and continue to thrive in leadership positions across our company. These strong leaders and innovators are a powerful force within SiteOne as they help us improve the value that we deliver to customers and suppliers. They bring fresh ideas and entrepreneurial agility, and we support them and their teams with the resources and flexibility to pursue both their personal and professional passions. Ultimately, we all win, stronger together. I want to thank the entire SiteOne team for their passion and commitment to making SiteOne a great place to work and for welcoming the newly acquired teams when they joined the SiteOne family. We look forward to updating you as we add more outstanding new companies to our family through acquisition in 2024, creating terrific value for all our stakeholders. I will now turn the call back to Doug.
Doug Black: Thanks, Scott. I'll wrap up on slide 16. As we look forward to 2024, we expect customer demand to moderately improve, and we expect to continue gaining market share with our strong teams executing our commercial and operational initiatives. In terms of end markets, we expect new residential construction, which comprises 21% of our sales, to grow modestly in 2024. There's good momentum in new residential construction to start the year with growth in single family permits and starts over the past several months. This should produce growth for landscaping products in this end market, especially in the second half. New commercial construction, which represents 14% of our sales, was strong in 2023. However, we believe this market will cool off in 2024 with the architectural billing index showing contraction, though our own project services bidding is still slightly positive. Our customer backlogs in commercial construction remain solid, and so we believe this market will be flat to slightly up this year. The repair and upgrade market, which represents 31% of our sales, was clearly weaker in 2023 than in 2022, but seems to have stabilized at lower levels of demand. Accordingly, we expect repair and upgrade demand to be flat in 2024. Lastly, we expect sales volume in the maintenance category, which represents 34% of our sales to continue growing in the low single digits in 2024 as contractors and end-users take advantage of lower commodity prices and continue to restore application rates from the depressed levels in 2022. As John mentioned, we expect commodity price deflation to continue in the first half of 2024 and moderate in the second half as we lap the price decreases in 2023. Overall, we expect prices to be down 1% to 2% in 2024. With this backdrop, we expect our organic daily sales growth to be in the low single digits for the full year 2024. We believe that sales growth will be higher in the second half than in the first half of 2024 as the price headwind diminishes. As John has mentioned, the weather has been unfavorable so far and we are trailing last year, though we have seen solid growth on days with good weather. With our continued initiatives and the benefit of acquisitions completed in 2023, we expect to achieve gross margin improvement in 2024. We expect to achieve SG&A leverage as we drive productivity improvements with the benefit of positive organic daily sales growth, more than offsetting the negative impact of acquisitions. Accordingly, we expect to improve our adjusted EBITDA margin in 2024. In terms of acquisitions, as Scott mentioned, we have a strong pipeline of high quality targets and we will continue to add excellent companies to the SiteOne family in 2024. We will benefit from the sizable synergies and a full year performance with Pioneer Landscaping Centers, along with good contributions from our other 2023 acquisitions this year. With all these factors in mind, we expect our full year adjusted EBITDA for fiscal 2024 to be in the range of $420 million to $455 million. This range does not factor any contribution from unannounced acquisitions. In closing, I would like to sincerely thank all our SiteOne associates who continue to amaze me with their passion, commitment, teamwork, and selfless service. We have a tremendous team and it is an honor to be joined with them as we deliver increasing value for all our stakeholders. I would also like to thank our suppliers for supporting us so strongly and our customers for allowing us to be their partner. Operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] First question comes from David Manthey with Baird. Please proceed with your question.
David Manthey: Thank you. Good morning, everyone. John, in your comments, you mentioned that gross margins expected to be lower in the first quarter and then Doug, you just reiterated it should be higher for the full year. Just trying to get a finer point on that first quarter number. Is that lower than 34.3% in the year-ago period or lower than 33.8% in the just reported period? Possibly both. And then secondarily there, does the complexion of gross margin throughout the year look pretty normal to you this year? Lowest in the first, highest in the second, and then moderating from there into the third and fourth quarters.
John Guthrie: Thanks, David. Certainly, we would say it is going to be lower in the first quarter relative to prior year was the reference point. And as we look out, I think there's a couple of things going on with regards to Q1 of 2024 with regards to gross margin. The first is we are coming off one, a very, very tough comp. Gross margins, I think a lot went right with gross margin. In Q1 last year, acquisitions outperformed. And so we're facing a more challenging comp with regards to gross margin. Secondly, we are still, to a certain extent, feeling the challenges of deflation. While it improved during the quarter, which kind of led to some of our outperformance, it's still definitely there, and until we work through kind of the price deflation in the first half of next year, largely in the first quarter, that is going to provide a headwind, especially relative to last year, where even in the first quarter of last year, we were still seeing a positive price also, which contributed to the strong gross margin performance. And then the third aspect with regards to the quarter is I will say the amount of snow and kind of weather impact that has happened so far this quarter has negatively impacted gross margin, primarily from a mix. We're selling more ice melt, and a lot of stocking orders, we're not seeing the day in and day out orders yet kick in. Now I would caution that to say, this is very, very early in the season. We're in a shoulder, a quarter, so it's kind of like in a lot of our markets, they're not really selling a lot yet, and so really when March kicks in, it really determines the quarter. But with regards to that, we are off to a slower start than I would say, certainly less than last year in January, but also a year from a weather perspective.
David Manthey: Okay, thank you for that. And my follow up here is on Pioneer, Doug or maybe Scott, could you give us an overview of that business? It's my understanding that it's not really a traditional kind of bolt-on acquisition, it's more of an aggregates business. And can you just overview the opportunities and challenges here six months in?
Doug Black: Yes, so Pioneer, 34 locations, about $160 million in sales in both Arizona and Colorado. So they have a terrific network of branches and locations in two extremely high growth markets where we already have a significant presence. And you're right, they're mostly a bulk materials business, but they do sell our traditional hardscapes, and that's the synergies. We can really ramp up that business in the hardscape side. We can add lighting and other product lines that fit in addition to continuing to grow the bulk business. They were an integrated company where they had the quarries and the distribution, and they really ran it for profitability of the quarries. And so there was the other opportunity. It's not our normal acquisition where they're kind of already at or above where we are on EBITDA, that they underperformed from an EBITDA standpoint. That was reflected in the acquisition investment that we made. But we see a clear line of sight for ramping them up and getting them up to our average or above over the next couple of years. So there's the opportunity. When we bought it late last year, so they contributed negative EBITDA. It was, they're going into kind of the loss-making part of their season, if you will. And this year, the synergy this year will have synergies. Their SG&A was higher than it should be, and so we've taken some significant actions there. But we'll get the benefit of a full year, the synergies, SG&A reductions, etcetera, in 2024. So we're excited about it. But that's the nature of the business and some of the background and color.
David Manthey: Appreciate it, thank you.
Operator: Our next question comes from Ryan Merkel with William Blair. Please proceed with your question.
Ryan Merkel: Hey, everyone. Thanks for taking the question. I wanted to start off on the price outlook. Doug, the last time we spoke, you thought that the ROAs were bottoming. Just curious if that's exactly what you've seen. And then I think you mentioned price would be positive in the second half of 2024. Is that because you're seeing the finished goods, suppliers raise prices?
John Guthrie: We're seeing a few of the finished goods products raise prices. It's primarily the fact that a lot of the price decreases in last year. We will have lapsed. I would say in general, it seems like most, even for the commodity products, have somewhat stabilized. The one exception is we are still seeing some decreases this year in PVC pipe, some price going, but otherwise there is not as much action with regards to even the commodity products and we are seeing some puts and takes with regards to kind of the more manufactured products.
Doug Black: Yes, so we are kind of seeing it slowly, pricing slowly improve kind of month-to-month and we think it will be a gradual march through the year turning positive in the second half and net positive we believe in the second half. But we do see it improving kind of month-to-month but it is gradual and like John mentioned pipe kind of took another leg down that's slowed down the improvement if you will a bit, but we still see it happening here in the last couple of months.
Ryan Merkel: Okay that's helpful. And then I wanted to follow up on 1Q as well Dave asked about margins so that's pretty clear, but I think you said down mid-single digits to start for organic daily sales and you mentioned weather. Can you just unpack the weather is it the lack of snow was the weather just too cold and then what are you assuming sort of the rest of the way. Do you -- do you, are you assuming gets better and I realize March is kind of the whole quarter so just curious how you're thinking about that?
John Guthrie: We would expect it to get better I think where it's really impacted us is in the southern markets especially Florida here in the southeast and Carolinas and Texas we've got more rain and had slightly colder weather which has prevented sales even I would say we were expecting a big a relatively large bounce back in California and then if you will the pineapple Express hit it California also. So it's been primarily rain and colder weather even when we've had good sales in the north it's not enough to offset the rain and cold weather in the south this time of year. But Ryan you said it. I mean, it's always January and February can be way up or way down, it kind of happens every year. The quarter is really defined by March and when spring hits, and if spring hits late then the sales move to the second quarter from the first. If spring comes early, we could have a it could come all the way back. So we're just noting that the progression is the typical weather volatility that we get especially in these slow overall sales months in the winter.
Ryan Merkel: Got it. Thanks so much.
Operator: Our next question comes from Steve Volkmann with Jefferies. Please proceed with your question.
Steve Volkmann: Great. Hi guys, thanks I'm going to switch over to the M&A if I could, and I'm curious about a couple things. One, Scott are there other sort of larger acquisition opportunities in the pipeline a lot pioneer or should we expect things to kind of go back to maybe the smaller average size? And then the second question is, I'm just curious it seems like perhaps there's a little bit less competition these days for some of these properties I just don't see as much happening in the PE space and I'm curious if you guys would agree with that or not so those are my two questions. Thanks.
Scott Salmon: Yes, thank you. Taking your first question it's always hard to tell when certain acquisitions might become available but I definitely think there are still some larger opportunities out there that could become active this year certainly we always hope for that but you can never guarantee that, so it's no reason why it would have to return back to our lower average there are some opportunities I think. And then with respect to competition, it's difficult to get an exact read out there when you do have a competitive situation with a broker you don't really know who's on the other side. I do know that, that some of the more active folks did acquire fewer companies in 2023 than 2022, but I would fully expect them to be in the market with good strength in 2024. So I wouldn't see anything structurally different over the coming years.
Steve Volkmann: Great. Thank you.
Operator: Our next question comes from Mike Dahl with RBC Capital Markets. Please proceed with your question.
Mike Dahl: Thanks for taking my question. I want to first focus on SG&A. So if I think about kind of the backdrop that you're outlining, a little price deflation, some volume growth tops at that, but low single-digit total organic. In the past, that's been an environment where you haven't really leveraged SG&A with those puts and takes with the M&A mix that you have coming in with the level of investments, the level of wage inflation. It sounds like maybe you've got some other initiatives that have started to take hold. John, your comments about kind of base business, SG&A dollars being down. Maybe, can you just further elaborate on that and then kind of the bridge or puts and takes around how you're thinking about getting SG&A leveraged this year?
Doug Black: Yes, great question. We do have, obviously, there's a heavy focus on that. As the market slowed down in 2023, we had to make those adjustments. And so, we did those through the year in our base business. And I think through that, we're entering in 2024 in better shape, if you will, or more matched to the market. Then we entered 2023. So that's a tailwind to SG&A. You also have, for example, we noted at the Pioneer acquisition that really brought a lot of SG&A and not as much sales. That's the timing of that. It's meaningful as we go and get a full year there while at the same time adjusting their levels to be more appropriate. And then I think our initiatives more and more start to take hold in terms of the mobile pro, dispatch track, or siteone.com. We feel better about where those are. They're fully deployed now. And the productivity that we're able to get out of those in the field has increased. So I think when you put those together, we feel good about our ability to drive leverage, where maybe we hadn't in years past. I think we just got better and we're better capable of doing it now.
Mike Dahl: Okay, that’s helpful Doug. And then just to follow up on Pioneer more specifically, giving your comments on, say, it was a negative net contribution to EBITDA in 2023 given the timing, you just spoke to some of the positives. So in dollar terms, is Pioneer alone like a $15 million to $20 million positive swing in EBITDA this year when we think about kind of a negative 2023 contribution versus a more normalized and potentially thinner margin for this year?
John Guthrie: I think that would be a little high, but you're directionally in the right ballpark, I mean.
Mike Dahl: Got it. Okay, thanks.
Operator: Our next question comes from Damian Karas with UBS. Please proceed with your question.
Damian Karas: Hey, good morning, everyone.
Doug Black: Morning, Damian.
Damian Karas: So I think you said you're expecting repair and upgrade to be more or less last this year. There are some concerns out there on homeowner R&R spend just given where rates are and the supercharged demand that resulted from the pandemic. So I was just curious what gives you confidence that that part of the business can hold steady this year?
Doug Black: Yes well, we saw, if you will, the drop in 2023, right? So, as it turned out for the year, repair model, at least for us, was down, it was weaker. And we saw that, kind of across the country with high interest rates, low housing turnover, and like I said, just an adjustment from the go-go days of COVID. But we really feel like that's stabilized. I mean, that's just talking to our customers and seeing the sales that we're getting and backlogs, etcetera. We feel like it's just kind of adjusted and that now it will be fairly stable. So we don't see it getting worse. And again, we're playing at the higher end of homes. You can see interest rates starting to come down a bit. We can see projects in the pipeline at least for the first quarter, first half of the year. So it's just the rate that we're getting from customers that we feel like it will be flattish in 2024, coming off of a down year in 2023.
Damian Karas: Got it. That makes sense. And then I wanted to ask you specifically about hardscapes, which continues to become an increasing proportion of your business. If my math from the slides is right, hardscapes was up something like mid-teens in 2023. Does that sound about right? And I was wondering if you'd maybe be able to give us a sense for how much of that is coming from acquisitions versus the underlying hardscaping business, how it's been performing. Thanks.
Doug Black: I don't know the specific math, John and Mike, but that would be mostly through acquisitions. We saw hardscapes kind of hanging in there. Obviously, hardscapes is tied to repair or remodel. So the market was going the other way for hardscapes. I would say hardscapes for us longer-term is a great product line. Net-net, it's going to grow faster than the market because you still have some penetration going on there. It's a good profitable part of our business and we're excited to continue to increase the amount of hardscapes we have in our overall mix. But those types of numbers, that would have been additions through acquisitions, not an organic type of performance for 2023.
John Guthrie: Up until 2023, hardscapes has been one of our strongest growers. In 2023, it's primarily, as Doug mentioned, tied to repair and remodel. So there was a pullback on a volume basis. The other aspect of it, just in the mixed percentages, is that one big drop was fertilizer and it's because of the deflation. So it kind of came down. Hardscapes grew through acquisitions. Those are the primary mechanics that drove this switch in our product mix.
Doug Black: Did that answer your question?
Damian Karas: Yes, thanks guys. Appreciate it. Best of luck.
Operator: Our next question comes from Andrew Carter with Stifel. Please proceed with your question.
Andrew Carter: Hey, thanks. Good morning. Pricing got worse in the quarter, though. I know it's not perfect, but the index price has actually got a little better. So what I wanted to ask is, is the dislocation issue getting more -- did that get worse of trying to kind of price down to the competition? And if you could, there's a headwind there from the mismatch of you have to match the market, but then not get the full favorability in input costs. How big is that headwind in gross margin? Did it grow? Does it improve from here? Anything you can help me out on that? Thanks.
John Guthrie: I would say, the price difference was similar in Q3 -- in Q4 as in Q3, maybe not as tough as it was at the end of Q3, but -- and maybe it got a little bit better as we finish the year than it was in the beginning of the quarter. But in general, we were still in a deflationary environment, it was 5%, which is kind of where we thought it would be and it's -- we are seeing improving so far this year, though, obviously, the year is still there. We had previously talked about kind of the dynamic where we look back on kind of price cost and that variance relative to like pre-COVID. And that dynamic, we were probably 40 to 50 basis points below kind of the price cost ratio there that we had there. And this is a variance to kind of like, I would call it, equilibrium, where we were above equilibrium and then now we're probably 40 to 50 basis points below equilibrium from that standpoint. We expect that kind of that kind of switch in the second half of this year, which is what we talked about on the last call. That has not changed.
Andrew Carter: Second question I have, and then if I put like the high end of your EBITDA guidance on what I think is the low end of your sales, I get a 10% EBITDA margin. You've said 13% to 15% in the past. So at best, we're looking at 50 basis points EBITDA margin expansion this year. Is it going to be a slow plod consistent of getting there? Is there some kind of step change initiative once you reach some kind of scale? And is there any way you could give us kind of the margin differential by vintage, i.e., branches that have been in the portfolio for 6 years versus 2 years? Anything to help us and give confidence in that path to 13% to 15%. Thanks.
Doug Black: Yes. So I think it will be a gradual steady climb. As John mentioned, we switched from the price realization tailwind, which obviously carried us in 2021 and 2022. So 2023 becoming a headwind, that headwind will continue in 2024. We'll make progress in 2024 despite that, but that will come back to us in 2025. So we got some juice, if you will, for 2025 that comes from that headwind going away and going back to equilibrium. And then I think you'll just see a steady climb. There's no one event. There's a lot of things pointed at that. On the gross margin side, as we grow with our small customers, we drive our private label brands. And as we do some of our own initiatives and freight and otherwise, we attack that gross margin. And on the SG&A side, with siteone.com and MobilePro and the technologies that we've deployed, with our TMS and freight management, which we're now focused on the last leg of delivery, and that's going to help us on the overhead there. As we further leverage our DCs and our center, we're going to get SG&A leverage there. And quite frankly, as we spread best practices across nursery and hardscapes, which are the more operating-intensive parts of our business. So with the combination of those, we had kind of steadily toward that. And just to give confidence, we have whole regions that are $500 million, $600 million of sales already in that, and they're fully loaded with our overhead and our head office overhead, etcetera, already operating there. So we've got hundreds of branches already operating. We've got many operating above that. So we see it all over SiteOne. It's just getting the average up to that level, and we're very confident we can do that.
Andrew Carter: Thanks. I’ll pass it on.
Operator: Our next question comes from Matthew Bouley with Barclays. Please proceed with your question.
Matthew Bouley: Hey good morning. Thanks for taking the question. I just wanted to ask on the volume cadence. I think to the extent, your organic daily sales are down mid-single digits year-to-date and assuming you're kind of in the same price bucket, I don't know if that means your volumes are kind of flattish so far this year. And so the question is, as you move forward, I do think the comparisons on volumes year-over-year perhaps get a little bit tougher as your volumes did grow for most of last year. So how are you guys thinking about that cadence of volumes in Q1, Q2? And kind of what's assumed in the guide from a volume perspective in the second half? Thank you.
Doug Black: Yes. I think, again, the near-term sales and the weather don't give you a read on volume. So I wouldn't take too much into -- well, we're here in January, etcetera, because the weather really moves things around in January and February, and it can change from week to week and then you hit March, and it could change even further. So I think what we believe is that the market is stronger, right? Residential is going to be stronger. We think repair and remodel will be net stronger, meaning it won't be down. We think it will be flattish. Maintenance is solid and commercial is still solid, right? And so if we take that backdrop and we look at the comps from the prior year, we think the volume growth that we've seen in the third and fourth quarter is going to continue. And as we hit the third and fourth quarter of 2024, we've got price, we've got the price headwind abating and we still have strong markets, and we've got stronger teams where we can drive more volume. So that's kind of how we think the year will play out outside some of the weather movements that we're seeing here today. So in general, we feel good about the forecast there and our ability to go generate consistent volumes throughout the year.
Matthew Bouley: Got you. Okay. That's helpful. Thanks for that Doug. Then second one, the -- I don't know if it's possible to kind of call the ball on gross margins beyond Q1 on a quarterly basis. But I guess my question is, given you still have some deflation rolling into the second quarter, and I know you're saying that, that should turn positive by the second half, is it possible for gross margins to expand on a year-over-year basis when you still have deflation? And so is the assumption that really all the gross margin expansion would come in the second half because you're past the deflation headwind. Just kind of any color on how that dynamic might play out. Thank you.
John Guthrie: I think directionally, you're correct. I think there will be more outperformance in the second half of the year. I think Q2 is a little too early to call, but we -- certainly, I would say we will on a -- just on a year-over-year basis, we will be in a whole in Q1. Q2 we'll be digging ourselves out, maybe slightly positive, then we would expect outperformance in the second half of the year.
Matthew Bouley: Okay. Thanks John. Thanks Doug. Good luck guys.
Doug Black: Thank you.
Operator: There are no further questions at this time. And I would now like to turn the floor back over to Doug Black for closing comments.
Doug Black: Okay. Thank you, and thank you everyone for joining us today. We appreciate your interest in SiteOne, and we look forward to speaking to you again after our first quarter. We'd like to once again thank our terrific associates for all that they do to make us a great company. Our customers and suppliers, we certainly appreciate them as well. Thank you. Bye.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.